Operator: Good afternoon, and welcome to Twilio's Third Quarter 2020 Earnings Conference Call. My name is Rob, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I will now turn the call over to Andrew Zilli, Vice President of Investor Relations and Treasury. Mr. Zilli, you may begin.
Andrew Zilli: Thanks. Good afternoon, everyone. And thank you for joining us for Twilio's third quarter 2020 earnings conference call. Our earnings results press release, SEC filings and a replay of today's call can be found on our IR website at investors.twilio.com. Joining me virtually today are Jeff Lawson, Co-Founder and CEO; George Hu, COO; and Khozema Shipchandler, CFO. As a reminder, some of our commentary today will be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings press release.  Additionally, some of our discussion and responses may contain forward-looking statements, which are subject to risks, uncertainties and assumptions. In particular, our plans and timing to close the Segment acquisition, including the expected business benefits and financial impacts from the acquisition, and our expectations around the impact of the COVID-19 pandemic on our business, results of operations and financial condition, and that of our customers and partners is subject to change. Should any of these risks materialize or should our assumptions prove to be incorrect, actual financial results could differ materially from our projections or those implied by these forward-looking statements or ability to close the segment acquisition in a timely fashion. A description of these risks, uncertainties and assumptions and other factors that could affect our financial results are included in our SEC filings, including our most recent report on Form 10-K, and subsequent reports on Form 10-Q. And our remarks during today's discussion should be considered to incorporate this information by reference. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We undertake no obligation to update any forward-looking statements made during this call to reflect the events or circumstances after today, or to reflect the new information or the occurrence of unanticipated events, except as required by law. With that, I'll hand it over to you, Jeff.
Jeff Lawson: Thanks, Zilli, and welcome, everyone to this quarter's earnings call. Before turning to earnings, I want to encourage all who are listening, especially here in the United States to please vote, have a plan, find a way, make your voice heard. At the top of our earnings calls from time to time, I may briefly discuss some elements of social justice, policy or societal issues in the hope that it has some impact, and to show that we at Twilio take these issues seriously. At our last call, I've referenced the fact the Black Lives Matter. And I want to say it, because it needs to be said, Black Lives still matter. At Twilio, we will continue to advance the dialogue on this and other issues that we care about. Now, on the earnings. We delivered another quarter of outstanding results. I could not be prouder of what we've accomplished during these trying times. Our success is a testament to the value proposition that Twilio's platform offers businesses, digital engagement, software agility and cloud scale. Our goal is to build the world's leading customer engagement platform. We're going to achieve this vision by investing in our products, our platform and our people. The demand and excitement for digital customer engagement was evident during a recent customer and developer conference SIGNAL, where we had tens of thousands of people registered for our first ever virtual conference, embracing our builder mentality SIGNAL was run on Twilio's platform, which our internal team developed in a matter of months to great success. Throughout SINGAL, we heard from leading enterprises like Nike, Delta Airlines, and Ernst and Young about how they are using Twilio's platform to create new ways to engage with their customers over digital channels. And to ensure we continue to meet the needs of our customers, we announced several new products and innovations to help the developers in the world continue to build solutions to solve today's challenges, as they execute on their digital transformation initiatives. We know our customers are looking to Twilio Flex to take down the largest and most complex contact center workloads out there. But they want to do that while continuing to use the best to breed solutions they've grown to love, such as their workforce management, their CRM. We announced the Twilio Flex ecosystem, enabling customers to access more than 30 validated solutions from partners including Google, Salesforce, Zendesk, and Calabrio, all built to accelerate contact center projects. Usage of Twilio Video has skyrocketed, and we want to get video in the hands of as many developers as possible. So we announced a free version of Twilio Video for peer to peer use cases called Twilio Video WebRTC Go. Twilio Frontline is a mobile app that provides a direct messaging-based connection between customer facing employees and consumers, in a way that's safe, secure private and compliance. As non-desk workers far outnumber desk workers, frontline can help drive greater sales, higher customer satisfaction and lower costs through more efficient operations. And we announced Twilio Microvisor, a complete device connectivity platform that eliminates the complexity of building for IoT. Microvisor runs on the connected device and creates a secure manage one time with the intelligence to connect to different types of networks, including WiFi and of course cellular the [indiscernible]. We also recently announced our intent to acquire Segment, the leading customer data platform. Segment enables developers and companies to unify customer data from every customer touchpoint and every system of record, empowering marketing, sales and service leaders with the insights they need to design and build relevant, data driven customer engagement. The combination of Segment and Twilio, means that we will be able to help any business make their customer engagement across every channel more personalized, timely and impactful. This is an important step towards our vision of building the world's leading customer engagement platform. We also wouldn't be able to execute on this vision without the strong culture and inclusive workforce our employees embrace every day. Which is why I'm excited to welcome Lybra Clemons, Twilio’s first Chief Diversity, Inclusion and Belonging Officer. Lybra is responsible for guiding and scaling Twilio’s inclusion strategy and diversity initiatives across the company's global workforce. There has never been a more important time to bring in a Head of Diversity to the C-suite of the company, and I'm excited for where she will lead us. I again want to thank our employees, for their continued dedication to our customers and for delivering these great results, and a special thanks to the SIGNAL team for delivering such an outstanding virtual event. I also want to thank all of those who are on the frontlines, those who are fighting the fires in California, those who continue to fight this pandemic, and those who will be working the election poll stations, just over a week. Thank you, for everything you're doing for the rest of us. And please remember to get out and vote. With that, I'll hand it over to George.
George Hu: Thanks, Jeff. The team delivered another quarter of great results in Q3. Our focus on growing our enterprise presence, expanding internationally and growing our partner ecosystem continues to drive great outcomes, as companies turn to Twilio’s customer engagement platform. And our opportunity is expanding as a result. I'm extremely impressed with our marketing and events team, who created an amazing virtual experience for SIGNAL. In addition to all of the great individual sessions, we hosted our creator summit, when we brought together more than 200 executives from customers and prospects to network here from inspirational speakers and learn about Twilio. We also had more than 800 developer attendees at our super class and delivered 40 hours of content on SIGNAL TV, and our brand experience team built our conference experience from the ground up, incorporating more than 10 Twilio products, including Flex, Video and SMS. During the quarter, we also announced that Deloitte Digital will be joining the Twilio built partner program as our first premier global systems integrator. Deloitte Digital’s Twilio practice will offer the entire Twilio product suite, including Flex for contact centers, as well as the full set of Twilio communications APIs and platform services, to help clients reinvent their marketing, sales and service and radically transform the customer engagement experience. This is a great step forward in our partner program, as it significantly expands our reach and ability to leverage Deloitte expertise in our top industries, such as healthcare and financial services, where Twilio has helped institutions of all sizes dramatically transform the customer journey to adapt to these new circumstances. In healthcare, the innovative solutions that have been built on top of Twilio to address the COVID-19 crisis, provide an opportunity for the industry to advance the use of technology to better deliver outcomes for patients and create tools that fit seamlessly within a physician's workflow. This has always been the vision, but the coronavirus crisis highlighted the urgency, immediacy and magnitude of that need. The team has been hard at work to make many of the Twilio’s most critical products hit the eligible, such as Twilio SMS, chat, conversations, video, voice and SIP and runtime tools. As of today, Verify Look-Up are also HIPAA eligible for healthcare customers. And this focus on healthcare is paying off, as you can see with couple of deals we signed this quarter. We expanded our relationship with Philips, a leading health technology company focused on improving people's lives and enabling better outcomes across the health continuum. In response to COVID, Philips build a virtual waiting room using Twilio SMS, to replace the physical waiting space in just six weeks. Health systems like Yale New Haven Health and Boston Medical Center, these solutions that cure viruses like COVID-19 and the flu. With this new solution, the patient texts the hospital when they arrive and hospital text them back when the room is available, so they can go straight to an exam room. We entered into a new relationship with Banner Health, one of the largest not for profit healthcare systems in the country. After investigating several vendors, Banner Health selected Twilio to power patient notifications across multiple channels, beginning with our voice API. They view Twilio as the leading engagement platform that can power a consistent digital patient experience across Banner Health. The financial services, another highly regulated industry and a key focus area for Twilio, institutions have long had apps, chatbots and other customer service tools to help them connect with customers. But COVID was the first time that these capabilities were put to the test as the primary way for people to interact with their service providers. With the pandemic hit consumer banks, wealth managers and insurance companies were flooded with inbound calls from customers, while being tasked with developing a richer set of capabilities and tools to enable their employees to safely and effectively work from home. Now, as providers look to the future, they're implementing a range of new digital solutions that create a better user experience for customers at any time and on any channel. We saw this in the third quarter as we expanded our relationship with a Fortune 50 bank that was forced to close many branches in response to COVID. They were looking for a better way to engage with customers via digital channels. They selected Flex, integrating it with programmable messaging and sales force to power their new omnichannel digital customer engagement strategy, to improve lead conversion and provide better customer service on demand. We also signed a new Flex deal with Robinhood, a pioneer of commission free trading. As the demand for their platform has accelerated as a result of COVID, Robinhood is continuing to adapt, scale and power elements of its customer support with Flex. As we discussed, we have a very broad customer base and our platform is used by companies across more than just healthcare or financial services. Some other great deals from the quarter include an expanded relationship with Alaska Airlines, the fifth largest U.S. airline based on passenger traffic. In an effort to reduce direct interaction between employees guests in response to COVID, Alaska is using our programmable SMS connected to their reservation system to allow agents to send a customer's boarding pass via SMS. We entered a new relationship with Prometric, the global leader in technology-enabled testing and assessment solutions. With the acceleration of digital technology driving new consumer behaviors, as well as an increasing need for remote test proctoring as a result of COVID, Prometric selected Twilio as a video management service for their application, with Flex as the user interface between the proctors, security agents, readiness agents and test takers. Overall, our team continues to execute on our strategy as our investments in enterprise go-to-market, international expansion and our partner ecosystem are paying off. We are extremely well-positioned as we look to close out the year, and we're excited about the massive opportunity ahead of us in the next several years. And with that, I'll hand it over to Khozema.
Khozema Shipchandler: Thank you, George, and good afternoon, everyone. Total Revenue for Q3 grew 52% year-over-year to $448 million, and dollar-based net expansion was 137% as we continued to see broad based strength across the business. As we get closer to the election, political traffic is likely to pick up, and we saw that in the third quarter as political traffic contributed approximately $10 million or 2% to revenue. Excluding political traffic in Q3, 2020, revenue grew 48%. Revenue from our top 10 active customer accounts represented 14% of revenue, compared to 15% last quarter, and 13% last year. International revenue was 27% to total revenue in Q3, compared to 27% last quarter and 28% in Q3, 2019. WhatsApp contributed approximately 6% of revenue, down from 7% last quarter. Starting in 2021, we will no longer breakout WhatsApp as a percentage of revenue. We continue to have a great relationship with WhatsApp. However, as our businesses scaled, coupled with the strong revenue diversification we discussed at our Investor Day, disclosing the contribution from a single customer is less meaningful. Verizon's A2P fees contributed approximately $10 million to revenue. As a reminder, this fee is a direct pass through to customers and does not impact gross profit dollars. I did want to note that we expect to stop breaking this out in 2021, as we lap the implementation of the Verizon fees. If and when we experience fees from other carriers, we do expect to provide that information if relevant. Third quarter, non-GAAP gross margin was approximately 55% and was negatively impacted by 130 basis points from A2P fees. As you'll recall from our recent Analyst Day, we discussed that gross margins would be negatively impacted in the short-term, as the growth of our messaging product has been reaccelerating, a trend that continued in Q3. To reiterate, this is a trade-off that we will gladly take as it adds gross profit dollars, which we can continue to reinvest, delivering elevated levels of growth. Gross margin was also negatively impacted by about 100 basis points from foreign exchange, primarily from the euro, appreciating relative to the U.S. dollar. Non-GAAP operating profit came in at approximately $7 million stronger than originally forecasted, driven by higher than forecasted revenue and the timing of hiring within the quarter. While we were able to catch-up on our hiring plans in the third quarter, the timing of some of the hires meant that we didn't fully recognize the expenses we had forecasted. Moving to guidance. Please note that our guidance today does not include the impact of our announced acquisition of Segment. We expect the acquisition to close during the quarter and we do expect a modest top and bottom line impact in the fourth quarter. As such, on a standalone basis, we expect Q4 revenue of $450 million to $455 million, including A2P fees for year-over-year growth of 36% to 37%, and we expect a fourth quarter operating loss in the range of $10 million to $15 million. While on the topic of guidance, I'd like to update you on our guidance velocity. Going forward, we plan on only providing quarterly guidance. At our recent Investor Day, we provided medium-term guidance that we expect 30% organic annual revenue growth for the next four years. Also, our medium-term guidance does not incorporate the pending acquisition of Segment. This guidance was provided based on our forecast for Twilio’s existing business. We are managing the business for the long-term, making decisions that benefit all stakeholders and our medium-term revenue guidance reflects this. As we discussed at our Analyst Day, some of the investments we plan on making this year did not materialize, as we had originally forecasted due to COVID. We're still finalizing our 2021 plan, we intend to continue with our investment plans into 2021, which we anticipate will drive operating losses into next year. Also, with our recent announcement to acquire Segment, there will be certain integration costs will incur to further enhance Twilio’s customer engagement platform. Once the deal closes, we expect to provide more information on our Q4 call. Lastly, I encourage those of you that may have missed our Investor Day held on October 1, as well as our announcement acquiring Segment to visit Twilio’s Investor Relations website at investors.twilio.com, to view the presentations and webcasts. I wish everyone well and hope you are healthy and safe. Thank you for joining. Operator, please open the line for questions.
Operator: [Operator Instructions]. And your first question comes from the line of Meta Marshall from Morgan Stanley. Your line is open.
Meta Marshall: Great. Thanks. Maybe first question, just on SIGNAL. Could you give some color or commentary as to what were the most attended sessions? Or where you kind of saw most customer questions around? And was any of that surprising? And then maybe just Khozema any bounce back worth noting in key verticals like travel and hospitality? That's it for me. Thanks.
Jeff Lawson: This is Jeff. Thank you for the question, Meta. So I think SIGNAL was a broad based success across the board, in terms of in sessions for both the technical tracks for the developers and the audience, as well as for the executives with our creator summit. And so I think one of the key things about SIGNAL as we progressed and built on our engagement cloud strategy and started really building that dialogue with the technical folks, but also now the executives. And that is increasing our strategic positioning and allowing us to sell more broadly into organizations. And actually a not much bigger problem remains inside of those companies, such as the broad based question of customer engagement, as opposed to the more narrower view of the particular communications workflows. And so that's fantastic. We're really pleased by the growth of SIGNAL, 10x the attendance of prior years. Obviously, a lot of that's driven by the virtual nature of it, and as well the participation by leading enterprises. So this year we have the CEOs of both Nike, Delta Airlines talking about their digital transformations and the acceleration of those digital transformations have gone, because of COVID. And so, I think those are some of the key highlights of SIGNAL. And I don't know, if Khozema, do you have something about that?
Khozema Shipchandler: I think the second part of the question was around travel and hospitality or the impacted industries, and Meta, we have seen some traffic in the more heavily impacted industries return, but they're still below pre-COVID levels. I would characterize it more as green shoots.
Meta Marshall: Great. Thanks, guys.
Operator: Your next question comes from the line of Nikolay Beliov from Bank of America. Your line is open.
Nikolay Beliov: Hi, thanks so much for taking my questions. It's a question for George. George, as you build out this comprehensive customer engagement platform, at what point do you start running into Salesforce, Oracle, Adobe, the legacy if you will, customer engagement vendors? At what point you guys step back and coexist and compliment them? Just philosophically, just wondering your thinking around this topic, please. Thank you.
George Hu: Yes, I mean, it's a great question. And we are very complimentary, I would say that, many of our customers today are customers of these other companies. And we're very complementary. We don't often, like, see them in the sense we don't compete with them because we're coming out of the problem in a very different way. And we're starting with developers and we're working with them on really the communications and customer engagement, which is really our strong point obviously, and not where we see a lot of other companies that you mentioned focus. So, I’ll say, overall, we're very, very complementary and our customers view it that way. So I think that's going very well for us.
Nikolay Beliov: And George, as a follow-up, around Flex. When do you think Flex will become a way to wholesale replace legacy call centers versus complimenting them right now? Congratulations on the new wins around Flex. Some of them sounds like complimenting the existing call center solutions versus wholesale replacement.
George Hu: Yes. I think that it's a multi-year journey for us to mature the product. So, we do have companies that do use us as the end-to-end contact center platform. We have many situations we’re complementary. I think it's just I view it as normal enterprise software maturity. So we continue to mature the product. We're very excited about the evolution of the product over time. And we're now several years in and we're seeing that the market recognize that. And I think you're just going to see normal evolution there. And we're going to be more and more able over time to take on larger and larger workloads on the platform. But nothing, I just think it's a normal evolution.
Nikolay Beliov: Thanks, so much.
Operator: Your next question comes from the line of Michael Turrin from Wells Fargo. Your line is open.
Michael Turrin: Great, thanks. Good afternoon. I think the biggest takeaway was around the last point that Khozema laid out for many of us from the Investor Day around the ambition of that 30% organic revenue growth target over the next four years. So maybe going back to that, can you expand on what you guys you're seeing in the field today that gives you the confidence in your ability to execute on that multiyear vision, as that would put you in an admittedly verified air and software if you are able to sustain that pace?
George Hu: Well, this is George, since you asked for the field perspective. We're seeing digital acceleration. We're seeing that people are especially in this environment, realizing that there's a greater push than ever to be able to engage consumers and customers on digital channels in new ways and new modalities. And so, our research shows that this digital transformation is being accelerated by up to six years. And in fact, that was just last week on a CXO conference where CIO of a major retailer also said that they're seeing digital acceleration or the other three panelists I was with all talked about digital acceleration. So, at every level, I think that this is not just a temporal thing, but part of a new way the companies to engage. And so I think it's that macro shift we're seeing in the market, its macro acceleration that gives us confidence that we are where the market is and is going, but this is a huge need, a tremendous need in the marketplace, that there's a need that every company in the world has from small business all the way up to the enterprise. And so I think that this just really speaks to this generational opportunity we have which makes us believe that we have the market size here to sustain that level of growth, and also that we have really the right platform, the right message at the right time with the right go to market approach and product approach to address that need. And I think you see that in our numbers this quarter.  And we're just also seeing that reflected in the conversations on the field and even these 200 plus executives at our creator summit at Twilio which is an awesome number for us speaks to the fact that even not just developers now, but more and more executives are starting to realize that this is a strategic area for them. And Twilio is a company that they think of in a very different way.
Michael Turrin: It's good color. Just maybe a quick follow-up. On the dollar based net expansion metric that stepped back up to 137%. I think we've all been talking more about SendGrid impacts normalization, but that's the highest organic level we've seen since mid-last year. So anything else you can add around what's allowing you to sustain those levels as you move to even greater scale here. Thank you.
Khozema Shipchandler: Michael, this is Khozema here. I think, what we're seeing across the board is that there's just broad-based strength across the entirety of the business. And so there's no one specific thing that I would highlight as a result of that. I think that there are companies that are continuing to digitally transform as we pointed out a few times. And I think we're seeing a lot of tailwinds based on some of the things that George just described and we're super happy with the 137%. And we do think that will normalize and fade over time, but we're certainly really happy about what happened in the quarter.
Michael Turrin: Thanks. Excellent results. I appreciate it.
Khozema Shipchandler: Thanks.
Operator: Your next question comes from the line of Matt Stotler from William Blair. Your line is open.
Matt Stotler: Hey, thanks for taking my questions. I guess just to start on IoT. Obviously, a very interesting opportunity for you guys here, especially with the launch of Microvisor. How significant do you see IoT in terms of use cases for Twilio's business today? And how do you think about over time what this could be for you? And kind of how long do you think it will take that business to become a more significant contributor to the overall business there?
Jeff Lawson: Thanks, Matt. I will take, this is Jeff. So IoT is the market we're very excited about. I think that of all the talk of IoT that's gone on to the last say five almost 10 years, this is a field that Twilio is still in its infancy. And we're investing to capture a market that we feel is going to grow over the next decade or more. That said, it's a smaller investments and it's a smaller part of our business than the mainstream of our business, which is customer engagement. But the way I look at it, the great thing about having a developer platform is you can start at the broadest most applicable building blocks there, put them in the hands of developers and say we can't wait to see what you build. And as the market unfolds, developers show you where the big unsolved challenges are and that allows us to make smarter investments over time. So for example, with IoT, we started with connectivity, because that allowed us to leverage the skill that we had in taking very complex telco oriented relationships and economics and technology, and packaged that up in an easy to use platform for developers that encourages innovation. And then based on that product, we were able to understand that another big unsolved problem for IoT developers was actually on the chip itself, when how you actually deploy code to those devices and how you make that code updatable, secure, inspectable, et cetera. And that led us to invest in Microvisor. And so we see the IoT roadmap is a long run and it's a bet that we're making that the IoT market will be one where there is a tremendous amount of innovation in the years to come. And not necessarily innovation in the places where we see it on a day to day basis, a lot of people think about IoT and they think about their home and their thermostat or their watch or whatever. And actually I think there'll be very big areas of growth, when you start connecting just broad base like hundreds of millions, maybe billions of sensors out there in the fields where crops are grown, or detractors or subsidies and investing in smart cities. Those are the types of use cases that are really just at their infancy. One of the things we talked about quite a bit internally is one of the drivers of IoT, one of the many drivers of IoT is actually the environment. And how with better connectedness, better information about what's going on in our cities, we can direct resources better, whether it's in our cities or in the fields or in framing and things like that to in order to save energy and make our economy and our society more efficient. So there's a lot of drivers of IoT that are coming and the technology solutions that are now arising such as narrowband, 5G, smarter chips things like that, as well as the innovations that Twilio bring to the market that are the drivers we believe over the coming decade and more.
Matt Stotler: Got it. Yes. It's very interesting. I think there's one more just for Khozema. The color around the political contributions is helpful, or at least the political use cases and how they contribute to revenue. Maybe just any thoughts on what you've embedded in terms of guidance for that stable up and down to Q4? And then any impact that that had on the dollar base net expansion in the quarter will be helpful?
Khozema Shipchandler: Yes. It's pretty modest in terms of the Q4 impact. I would say it's kind of in the same range. If you recall back to our Investor Day, we kind of called it around this like 1% range, we call it out it's about 2%. Today, we would expect it to increase a little bit but again, I think it'll be pretty modest. Not a hugely significant impact on the elevation of expansion, obviously that's a million dollar contribution will impact it a little bit. But, the elections a week away, and so I don't think we expect a lot more to transpire after that.
Matt Stotler: Alright. Understood. Thanks again.
Khozema Shipchandler: Thanks, Matt.
Operator: Your next question comes from the line of Derrick Wood from Cowen and Company. Your line is open.
Derrick Wood: Great. Thanks for taking my question, and congrats a very good quarter. I wanted to ask first question on frontlines, and certainly seems to be an interesting opportunity to help further transform customer engagement initiatives. Two questions. First, do you think this could become a fair revenue driver, as you look over the next one to two years, especially considering you've already got some interesting referenceable customers? And then second, this really seems like a Greenfield opportunity that doesn't exist in the market. I'm curious where you think, an application like this, where budgets are likely to come from whether it's on customer service, or marketing or even some other operational line? Thanks.
Jeff Lawson: Thanks, Derrick. This is Jeff. So, first of all, we see this as a really emerging workload. If you think about it maybe five years ago the need for these frontline workers just saw the quantity of frontline workers changed the number of role and have changed, not just the result of COVID but as a result of the digitization of some of the industries. This role is essentially growing, and the role they play is being directly engaging with customers, as a new role for a lot of these companies. And so I think this is an emerging workload that we're investing in. So we're excited because when we talk to customers, we see them using our platform for these types of workloads already organically and you see frontlines fighting, their ability to find success in these use cases by instead of having to go build themselves a logic of being able to take something and get it in the hands so they can build more quickly on top of us. And that allows them to use all these frontline employees, whether they are retail workers, whether they are delivery drivers, whether they are field service technicians, because a lot of different types of workers working through it, allow them to be great omnichannel communicators and great agents of engagements with the end customers of those businesses. And so, I think -- what was the second part of your question?
George Hu: I think the second where the budget would come from. I think where we're in the discussion with in terms of revenue contribution. And I would just say that, frontline still in beta. And so we're not really commenting on the contribution to revenue at this point in time. Obviously, over time, we would expect that it would contribute to revenue, but like a lot of our beta products, it'll kind of bleed into our revenues over time.
Derrick Wood: Got it. Okay, maybe follow-up Khozema. Regarding Q4 guidance, I think it's about flat to up 2% sequentially. And that's much lower than you've historically seen into Q4. Is there something to be aware of that may can't generate seasonal strength this year versus past years? Or is that mostly just keeping a good degree of conservatism? And maybe if you could just speak to how you feel about pipeline going into Q4?
Khozema Shipchandler: Yes. I mean, I think Derrick, we feel good about what we turned in Q3, and we continue to see broad based strength across what we feel is like a really diversified business at this point. There's obviously persistent questions and kind of the macro environment. And we obviously are facing an election here in the next week or so. So we continue to see strength, certainly in Q3, but that macro environment is a little bit uncertain and so I think we're just being prudent. I think our 4 guidance as published certainly shows continued strong growth. We remain cautiously optimistic about our performance in the near-term. And then, in the medium-term, as you'll note, we provided guidance at the investor day of 30% over the next four years. So we certainly remain confident in our growth prospects in both the near and medium-terms. Thanks.
Derrick Wood: Thanks and congrats.
Khozema Shipchandler: Thanks, Derrick.
Operator: Your next question comes from the line of Alex Kurtz from KeyBanc. Your line is open.
Alex Kurtz: Yes, thanks. Thanks for taking the question, and congrats on the quarter. When you think about the investments you're making for next fiscal year, is there any big changes versus what you are run rating through, at the end of the year here? Is there something that you're going to be layering on whether it's Flex, or the hypervisor product or maybe just telemedicine? Any changes this year versus next year? And where the bets are being made?
Khozema Shipchandler: Yes, not really. Alex, I would say it's a bit more steady as she goes. We've commented on investments that we were going to make at the start of the year, and we've kind of commented throughout the year, how it's been a little bit harder to make those than we originally set out. And so just as kind of a refresher, we're continuing to make investments in go to market. We feel great about the traction that George has seen, for example, in enterprise and Flex and international. We called up previously, a number of investments that we wanted to make in R&D in particular, the center of excellence that that we opened in India, that's off to a good start, we're going to continue investing there. And then, they're just kind of the basics of building and scaling a company. We've talked about some systems and processes that we think are important to us. We called those out again, during the recent Investor Day. And I think, at this point, we're just trying to set up the business to take advantage of our growth and the scale. And we think, if we can do those things, then we set ourselves up nicely for the medium-term.
Alex Kurtz: Thank you.
Khozema Shipchandler: Thanks, Alex.
Operator: Your next question comes from a line of Rishi Jaluria from D.A. Davidson and Company. Your line is open.
Rishi Jaluria: Hey, guys, thanks so much for taking my questions. And nice to see some continued strong execution. I just wanted to go a little bit deeper into the international side of the business. Maybe can you give us a little bit color in terms of a, where you're seeing, if there's any particular geographies we're calling out that you're seeing particular strength in. And alongside that, I mean, going back just want to help recall you gave us at the Analyst Day. Just how we should be thinking about the investments you're making internationally, and the trajectory of getting gross margin expansion, as you continue to grow internationally, both customers and traffic wise? Thanks.
George Hu: It's George. I think the overall story is balanced growth globally. I do think that, if there were any areas that we're seeing some particular strengths, it would be in the Americas, both North America as well as Latin America. We are seeing probably a little bit more strength there. But overall, I would say we're seeing balanced growth. I'll turn it over to Khozema for the question around margins.
Khozema Shipchandler: Rishi, in terms of margins, really no change from the guidance that we provided at the Investor Day. In the short-term, we're very focused on growing gross profits. And we see a lot of opportunity out there and we talked about some of the dynamics with our accelerating messaging business, for example. We continue to see great paybacks in terms of enterprise reps and Flex and we want to continue onboarding complicated selling experience, for example. But over time we do anticipate that our gross margins are going to creep above that 60% range, and no real change in terms of our philosophy there.
Rishi Jaluria: All right, great. Thank you.
Khozema Shipchandler: Thanks, Rishi.
Operator: Your next question comes from the line of Ittai Kidron from Oppenheimer & Co. Your line is open.
Ittai Kidron: Thanks. It's Ittai. Guys, congrats great quarter. Couple of questions for me, first for you Khozema on the OpEx clearly. You're trying to hire a lot. It doesn't seem to be working, though, like, you kind of falling short of plans for a few quarters in a row. What's changing internally that will enable you to do that as you move into next year? It makes a lot of sense for you to hire a lot. It seems a little more difficult than planned. So what's going to change that? And I have a follow-up.
Khozema Shipchandler: Yes. I think there's a couple dynamics there, Ittai. So the first thing is, is that, some of the profit that dropped through is just as a result of increased revenue, right. So there's a little bit of a dynamic there. I think the second thing is, is that in Q3, it was probably the first quarter in the last couple quarters that we were able to catch up our hiring. So you're right, in terms of Q1 and Q2, we did have a little bit of difficulty just in terms of some COVID dynamics. But I think now, we've certainly appropriately staffed our talent acquisition team. And so I think now we'll be in a position to be able to make investments on the pace that we would like to and a lot of those investments and that being hiring. And I think we'll be in great shape over the next year or so.
Ittai Kidron: That's great. And then a follow-up for you, George, on the Deloitte Digital deal. Can you give us a little bit more color on how the ramp is going to go? How do we think about the investment that Deloitte has committed to make on each? And in order to drive Twilio how long before results start showing? And is there any exclusivity here? What are the odds we see other Deloitte Digital deals out there?
George Hu: Thanks. That's a great question. And we're very excited about the Deloitte Digital partnership. And we think that overall, it really speaks to the progress that we're making in both the enterprise as well as with our broader platform story, and also aligning to this broader story of digital acceleration that we've been talking about. We just kicked off the partnership. So you know, right now, we are ramping them up. We're getting them trained. They're committing a certain number of consultants to basically get educated on the Twilio platform. We're also in progress right now with a couple of lighthouse customers to jumpstart the partnership. So for the first period of partnership, we're going to be focusing on getting these lighthouse customers successful. And then ramping up after that. And I think we mutually have, obviously, big vision of what we can do together. It's not an exclusive partnership, but it's an exciting partnership. And we think that this is just the beginning hopefully, of how we continue to grow and expand our systems integrator program, especially at the GSI level.
Ittai Kidron: Very good. Excellent. Congrats, guys. Good luck.
Operator: Your next question comes from the line of Scott Wilson from RBC. Your line is open.
Alex Zukin: Hey, guys. This is Alex Zukin. Thanks for taking my question. I guess maybe because I'm the first one for you at a high level. If I think about the acceleration in the business terms that you're seeing both at the new customer level at the messaging level at the existing customer level, how important is bidirectional messaging to the business today? What percentage of messages that you send are kind of going in both directions? And how should we think about that over the next three years? And I've got a quick follow-up.
Khozema Shipchandler: Yes. I mean, we don't break it out at that level. Alex, we have you a number of breakouts in terms of our product split at the Investor Day, and I think that’s about the direction that we're planning to go down to in terms of disclosures. What I'll say is that I think bidirectional is super important to us over the long-term. As you know just based on your own interactions with the consumer the bidirectional nature of messaging is still in its relative infancy. And I think the number of the products that we have, in particular conversations products that we launched and I guess last year, we feel great about the way that that's been adopted. And again, most businesses are still sending it one way. And so we think there's opportunity there over time.
Alex Zukin: Got it. And then maybe another kind of big picture one, which is if you think about you obviously have been executing quite well this year. But there's still likely some headwinds to your business that are going to potentially turn into tailwinds next year, presuming the economy continues to recover. What are those? If you remind us what those headwinds that could become tailwinds next year, would be? And how we should think about that as a growth driver?
Khozema Shipchandler: Yes. I mean, I think in terms of the way that we have guided, we basically said that over the next four or so years that we feel like we can continue delivering 30% revenue growth annually. And I think what we've seen over the last year or so is that there's been pretty consistent and broad-based revenue strength across the entirety of the business. Now, as we went into COVID, I think the one dynamic that we did see on sort of the negative side was that there were some heavily impacted industries like rideshare, like travel hospitality. And, as we talked about earlier in this call, the traffic in those industries is still lower than pre-COVID volumes and so we would expect some bounce back in that. And now we're not calling exactly when that is obviously, it's kind of hard to say. The other thing I would just point out, though, is that, some of the acceleration that we've seen, for example, in healthcare and education, e-commerce, but we also think that those use cases are going to be pretty resilient. I don't think they're going to be ephemeral at all. In fact, I think we see a lot more opportunity in some of those industries. And so I think that's going to provide ongoing tailwind over the medium-term as well.
Alex Zukin: Got it. Khozema, if I could sneak one more and just about Segment. A question, I've gotten continuously is what roughly percentage of the revenue stream there is usage based versus subscription? And how is that going to impact the deferred write down?
Khozema Shipchandler: Yes. Alex, we're just not in a position to be able to provide financial information on the Segment transaction right now. We're not closed yet. And I think once we get close, as we disclose our Q4 results, we'll give you a lot more information there. But, we're not going to provide accounting impacts and financials today.
Alex Zukin: Fair enough. Thank you, guys. Congrats again.
Khozema Shipchandler: Thanks, Alex.
Operator: Your next question comes from the line of Brent Bracelin from Piper Sandler. Your line is open.
Brent Bracelin: Thank you. Good afternoon. I guess, Jeff, maybe I'll start with you. I know you can't provide a lot of financial detail around segment. But I did see that Peter's keynote at the CDP event last week came your way even more impressed with the opportunity here. I guess my question here could you share any feedback on Segment's set out from a customer and partner perspective in the last week or so?
Jeff Lawson: Well, I think what we've heard so far from customers or partners is a lot of excitement, because we're going to be able to accelerate not only SendGrid's or Segment's roadmap and their visions. But really it's what we can do together. And I think that's what a lot of customers are looking for in terms of single customer engagement platform that can take them end to end. Because if you think about it, we started with communications, but that's really a means to an end. For B2C companies, engaging with your customer really starts with it understanding your customer. And for B2C companies that's really done with data. And all those data is residing in all those different systems, and all the piece of the picture for essentially what you know about the customer. And so, once you are able to assemble a complete picture of your customer, well, then you can engage with them really effectively. And that's communication. So together, we can build the single platform that power end-to-end customer engagement, that's our goal, by bringing together the understanding of the customer, that's customer data, that's Segment, with actual engaging with them, touching those customers, getting them relevant, timely and impactful communications that actually make them more loyal and happier customers. And so that’s generally speaking, the gist of how we find it and that is reflective of what customers have told us, the problem that they want solved, and that's why we're building the customer engagement platform in a way that we act.
Brent Bracelin: It makes sense, and helpful color. I guess George, we have seen that two fold quarters of this deal acceleration in a post-COVID era. I was hoping you talk about just the enterprise customer journey. Is it evolving? Are you landing with Flex and messaging? But the discussions are much broader. Are the expands accelerating? Just walk us through how that enterprise customer journey is changing, now that you have two fold quarters behind you.
George Hu: Well, while certainly we've been in this pandemic for a couple of quarters now, I think that the digital transformation of which digital acceleration is really a more recent phenomenon, that's been happening for a long time. And for us some of the dynamics have stayed similar, actually and I think will continue to stay similar, which is that we are continuously being brought in by developers, that messaging is a fantastic product for landing within an account as a starting point. So very, I think, easy to understand and fantastic starting point is really globally. And then, what has changed in the acceleration is that really the speed of the exploration, adoption of new channels, more complex use cases. A great example would be Video. But, there was a previous question on like SIGNAL session attendance. And what really interesting to me was that while I would have expected that messaging would have been by far most attended breakout session. We had almost as many, if not more attendees per voice. There are some alone reflects, even IoT had roughly half the attendees of the messaging section. So, we're now able to parlay that strength, that landing strength in messaging into much broader conversation. And you saw at SIGNAL that we had two fantastic CEOs from Delta and from Nike speaking. That certainly was not the case a year ago. So, I think that there's a confluence of a lot of things happening here, both the need for digital acceleration as well as our capability and this investment that we've made both in our technology and our platform, as well as our go-to-market team to be able to now be in the right place at the right time to capture on this, to have these level of discussions and to expand our presence within the company. So what becomes method starts with messaging eventually becomes contact center or program of voice or all sorts of other interesting use cases that are coming out of that. So, yes, I think it's a really, really exciting time for us, and one that I think validates a lot of the investments that we've made, and led to also the Segment's announcement, which I think just falls right in line with the strategy that we've laid out.
Brent Bracelin: Awesome. Thank you. That’s all I had. Thank you.
Operator: Your next question comes from the line of Mark Murphy from JP Morgan. Your line is open.
Mark Murphy: Yes, thank you very much. Jeff, interested in how you're thinking about investing in the voice channel relative to the messaging channel. It feels like voice is going to be pretty integral to the future of Flex. But I believe you had told us voice has settled in around 17% of revenue and messaging has just exploded to about 45%. And if you have younger generations that are gravitating more toward messaging, are you kind of seeing on the margin reasons to shift investments that much more aggressively into messaging?
Jeff Lawson: I just think the drivers between the different channels are different. If you think about, like messaging, think about how many times you've actually had them engaging to a messaging conversation with this. It's actually still relatively small, but it's growing. In fact, just a few years ago, it was novel when you got a text message from a business, and like just telling you your food is arriving or your flight was boarding or whatever, like that was novel. And so messaging is seeing a growth in the number of use cases, and how people are deploying messaging to help grow their businesses. Whereas voice has been around for a very long time, obviously, that’s a 100 year old technology. But how people use it is actually changing. And I think that the changing nature of how we use voice, and look there's no way around that like people do use voice less than we did, say, 30 years ago. But how we use it is different as well as how the technology works is different. And so the virtualization of voice moving into the cloud, maybe global by its very nature, as well as embedding it into the many workflows that we have as opposed to it being standalone, just like here's your desktop and our phone. Now voice is becoming an embedded part of many different software workflows, such as those in the contact center where voice is actually embedded in it or other workflows as well. And so I just think the drivers of adoption and the ways in which these channels get used are different. And therefore we tailor our sales cycles, our paid service like that, is tailored to the drivers of what is driving companies to adopt messaging, oftentimes for the first time to build on use cases versus what's causing them to potentially re-architect, how they do voice, and capture emerging opportunities because of the new more flexible nature of voice in the world of software. I'll give you an example there, things like being able to understand sentiments or to transcribe voice calls and to use them. And to consider voice callers data, those are sort of net new capabilities of the medium that are driving new ways for a variety of workloads to be considered inside of an ink patch.
Mark Murphy: Very thankful. Great answer, Jeff. Khozema, I just have a quick follow-up. Are you able to approximate the rough dollar amount of systems investments that you were unable to make this year that you think would flow into 2021?
Khozema Shipchandler: Yes. We're just not going to provide guidance on that today, Mark. I think we gave you some revenue guidance for the next several years. We're going to give profit guidance or loss guidance, if you will, over the kind of on a quarter-by-quarter basis. I will say that there's a number of areas that we spelled out. At the beginning of the year, it's kind of the same dynamic in terms of the areas of investment. So I'm just not going to give a number today.
Mark Murphy: Okay. Thank you.
Khozema Shipchandler: Thanks.
Operator: Your next question comes from the line of William Power from Baird. Your line is open.
William Power: Okay. Great, thanks. Yes, I think a couple of questions for Khozema. Maybe just coming back to Q3, I think even the largest dollar beat in your history. And I guess I'm sure the answer is probably partly broad based. But anything in particular you call out in terms of sources of outside, whether SMS, video anything else, that really was an upside surprise driver? And then the second question, looking at the net expansion rate, I'm just trying to kind of dig into the key drivers of that. I mean, how much of that increased usage of existing products versus perhaps greater migration use of the engagement cloud products from existing customers? Any color you provide on that front too.
Khozema Shipchandler: Well, that's a good question. You largely provided the answer in your question, but I'll give you maybe a few additional details. So, you're right that it is kind of broad based strength across the board. We just saw a great performance kind of all-around in terms of a number of our customer segments, geographies, products, what have you. Two of the things that we have pointed out both at our Investor Day as well today, we are continuing to see a reacceleration, if you will, in our messaging business. And we feel great about the additional growth that we've been able to drive there. And then I think, the other dynamic is, is that I think at the Investor Day, we're probably about closer to a percent of revenue in terms of political. We said today that we're closer to 2% and about $10 million bucks in terms of what we saw in Q3. And then I think the other dynamic is in terms of DBNE that was the other part of your question. Again, we're seeing broad based strength. We showed you a kind of a graphic during the Investor Day in terms of how does usage on new products versus existing and engagement cloud and so forth affect the dynamic in DBNE. And I wouldn't really say anything has changed significantly since then. So kind of a continuation of trends that we're seeing. And we feel really good about both DBNE as well as our revenue growth in the quarter.
William Power: Okay. Thank you.
Khozema Shipchandler: Thanks, Will.
Operator: And your last question comes from the line of Siti Panigrahi from Mizuho. Your line is open.
Siti Panigrahi: Thanks for taking my question. George, I just want to ask about the Flex adoption of cloud contact center. So, since you talked about recent partnerships with a SIs to build out of the box solution, I'm wondering how should we think about the penetration now into the contact center going forward, having this out of box solution.
George Hu: Well, I certainly think that we've always positioned Flex in differentiation around its programmability. And we believe that the combination of that plus the cloud is a very, very compelling value proposition for the market. And I think that you've seen during this particular situation we're in right now that that's accelerated the overall movement of contact center to the cloud. And certainly, we are beneficiary and we hope also a leader in that movement as well. In terms of the SI dynamic of that, the SI impact on that, certainly, there are a segment of companies in the market that want the value proposition of the value programmable highly customized solution, but may not have the in-house development resources. I think that's what makes SIs and our platform models such a fantastic natural fit. And I think that's one of the things that Deloitte and other SIs that are in our build program are excited about, and will allow us to meet the needs. You have to allow us to meet the needs of a broader set of companies in the world now that can now tap into these SIs for their solutions of having to build them in-house. So, I do think it opens our market. I think we’re still very beginning of that. We just announced this partnership, I think it remains to be seen how much of an impact that will have. But I think over time, it definitely will increase our addressable customer side for that I think we're very excited.
Siti Panigrahi: Thank you.
Operator: And ladies and gentlemen, it appears we have come to the end of our conference. Thank you for participating in today's conference. You may now disconnect.